Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Xcel Energy Third Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session, and instructions will be provided at that time. (Operator Instructions) I would like to remind everyone that this conference call is being recorded today Thursday October 25, 2012 at 9:00 a.m. Central Time. I will now turn the conference over to Mr. Paul Johnson, Vice President, Investor Relations and Financial Management. Please go ahead, sir.
Paul Johnson: Thank you. And welcome to Xcel Energy’s 2012 third quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; Teresa Madden, Senior Vice President and Chief Financial Officer; Dave Sparby, Senior Vice President and Revenue Group President; Scott Wilensky, Senior Vice President and General Counsel; George Tyson, Vice President and Treasurer; and Jeff Savage, Vice President and Controller. This morning we will provide with you an update on third quarter results and recent business developments, update you on our 2012 guidance and introduce our new five-year capital forecast, financing plan and 2013 earnings guidance. There are slides that accompany today’s conference call available on our webpage. In addition, we will post a brief video of Teresa Madden summarizing our financial results on the website. As a reminder, some of the comments during this morning’s conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. Today’s press release refers to both ongoing and GAAP earnings. 2012 third quarter GAAP earnings of $0.81 per share reflect a $0.03 per share positive impact of a restoration of a tax benefit previously expensed in 2012 associated with federal subsidies for prescription drug plans. This benefit is not included in ongoing earnings, which is consistent with our treatment in 2010. Management believes ongoing earnings which remove the impact of non-recurring items provide a more meaningful comparison. As a result, comments this morning will focus on going earnings. With that, I will now turn the call over the Ben Fowke.
Ben Fowke: Well, thanks Paul, and good morning. I’m very pleased to report that 2012 third quarter ongoing earnings increased 13% to $0.78 per share, compared to $0.69 per share in 2011. As you know, we made -- make it a priority to invest in our system with projects that provide long-term value to our customers. We achieve constructive and timely recovery of such investments in several jurisdictions, which contributed to this quarter’s performance. In addition, O&M expenses decreased slightly for the quarter reflecting our continued cost control measures. Finally, warmer than normal weather increased third quarter earnings by just over $0.07 per share, since we also experienced a hot summer last year this summer’s weather didn’t create a variance when making the quarterly comparison. Our third quarter earnings are in contrast with the rather slow start we had to the year, marked by warm winter weather, lower sales and a couple of disappointing regulatory decisions. Recall that we responded immediately by implementing cost control measures to partially offset these negative factors, an indicative we expected to deliver earnings within the lower half of our guidance range. With continued careful cost management and the improvement in weather during the summer, we now expect to deliver 2012 ongoing earnings within our earnings guidance range of $1.75 to $1.85 per share. Our 2012 GAAP earnings are expected to be in the upper half of the guidance range as a result of the $0.03 per share tax benefit that, Paul, just discussed. Teresa will discuss our quarterly earnings in greater detail in a few moments. I’ll now comment on a few recent developments starting with the introduction of our updated five-year capital forecast, which you will find in our earnings release. We anticipate spending approximately $13.2 billion over the next -- over the five-year timeframe of 2013 to 2017. This is slightly less than our previous forecast. Additionally, we have reduced our projected equity needs by $350 million. The reduction in future equity needs is primarily driven by lower capital investment, the timing of those investments and improved cash flows. Let me highlight some of the changes to the updated capital forecast. Our previous capital forecast included $470 million of investment to meet CSAPR requirements in Texas. We have removed the SPS environmental projects from our forecast following the court’s decision to vacate CSAPR. The court stated that the EPA must continue administering care pending adoption of a valid replacement. At SPS, we plan to comply with care through modest allowance purchases beginning in 2015. Longer term, it’s possible that future regulations could require the addition of FCRs and scrubbers at our SPS coal facilities. However, because of the uncertainty of any additional regulations, including timing, these potential investments are expected to be beyond the current five-year forecast. Our updated capital forecast also reflects increased infrastructure investment, particularly related to natural gas pipeline integrity and electric distribution projects. Most of the larger projects, such as CapX2020, the Clean Air-Clean Jobs Act and the nuclear upgrade and life extension remain significant components of the five-year plan. I do want to point out that this forecast includes the Prairie Island upgrade project which represents about $200 million of CapX spend primarily in 2016 and 2017. Earlier this year, we filed a Change of Circumstance with the Minnesota Commission, because the benefits of this project had narrowed since it was originally proposed. While under review circumstances have continued to evolve and now indicate that the benefits of the upgrade are less than we anticipated in our March filing. At this point, we conclude that further investment in the project will not benefit our customers. The project is being reviewed by the commission, as well as other parties and we expect a determination sometime in 2013. Return in operations, we continue to make great progress on our CapX2020 transmission project. The first four projects representing approximately 700 miles and $1 billion of capital investment for Xcel Energy have all received state regulatory approval and are now in construction phase. Approximately one half of this project’s planned investment will be made in 2012 and 2013. In September, the second segment of the Bemidji-Grand Rapids transmission line was completed and energized, entire 70-mile line is now in service. Overall, the CapX2020 transmission project remains on time and on budget, demonstrating our continued ability to manage complicated projects and deliver value to all our stakeholders. Looking ahead, 2013 will be an active year for us, as we plan to file several rate cases this fall. In early November, we’ll file a Minnesota Electric Rate Case, which will reflect significant capital investment going into service associated with nuclear and other infrastructure projects, as well as the decline in electric sales that we’d experienced in Minnesota. Teresa will speak to the drivers of that request in a few moments. We also plan to make filings for Colorado gas and electric filings in Texas, New Mexico, and North Dakota before the end of the year. All of which are in addition to open dockets in South Dakota and Wisconsin. So 2013 will be a busy regulatory year for us. With that, I’ll turn the call over to Teresa.
Teresa Madden: Thanks, Ben, and good morning. Today I will discuss third quarter results, provide an update on our regulatory proceedings, review our 2012 financing plan and update you on our 2012 and 2013 earnings guidance. Let’s begin by reviewing our third quarter results at each of our four operating companies. Third quarter earnings at PSCo increased $0.07 per share, primarily due to an electric rate increase implemented in May associated with the approved multi-year plan. Quarterly results also benefited from lower O&M expenses and warmer summer weather. For 2012 we are on track to earn close to our authorized ROE of 10% in Colorado. Earnings at NSP-Minnesota declined $0.01 per share for the quarter. In addition, NSP-Minnesota earnings were down on a year-to-date basis driven by sluggish sales, increased property taxes, higher O&M expense and unfavorable weather. In 2012, we expect to earn well below our authorized ROE. Clearly, this highlights the need to file our 2013 electric rate case in Minnesota. SPS earnings increased $0.02 per share for the quarter. New rate increases in New Mexico and Texas implemented in January were partially offset by the impact of milder weather, higher depreciation experience and property taxes. We currently project SPS to earn in the mid 9% range in 2012. Finally, third quarter earnings at NSP-Wisconsin were flat. In 2012, we expect NSP-Wisconsin to earn in the upper 9% ROE range. On a consolidated basis, we continue to project our 2012 ROE will be greater than 10%. I will now discuss some of the key drivers that affected the income statement beginning with retail electric margin. Third quarter electric margin increased $57 million. Primary drivers of the higher margin were $46 million from new rate increases in several states including Colorado, $13 million from increased conservation and DSM expenses, and $11 million from higher transmission revenue. These positive items were partially offset by lower firm wholesale revenues due to the expiration of a long-term agreement with Black Hills Corporation in January 2012. We continue to experience sluggish sales trend. On a year-to-date and weather normalized basis, electric sales were flat. However, if you adjust for the additional day of sales due to leap year, electric sales got actually declined three tenths of a percent. Part of this decline is due to the loss of one of our largest customers in Minnesota. In May, the Verso Paper Mill in Sartell, Minnesota experienced a fire. The company subsequently decided not to reopen the facility. In 2011, this paper mill represented approximately 1.4% of total retail electric sales at NSP-Minnesota and six tenth of a percent of Xcel Energy’s retail electric sales. On a consolidated basis, we continue to forecast flat sales levels for 2012. Turning to expenses, we continue to successfully manage O&M in an effort to match our spending with the negligible sales growth we’ve experienced to date as well as other headwinds we’ve faced in 2012. As a result of the cost management initiatives that we began implementing in January, our O&M expenses were essentially flat for both the third quarter and the year-to-date period. However, we don’t expect to maintain the flat O&M trend for the remainder of the year. After experiencing a hot summer, we plan to put some money into our system to ensure that we continue to maintain high levels of reliability. Also, after corresponding merit increases earlier this year, we reinstated them in October. As a result, we now expect 2012 O&M expense to increase by approximately 2% for the year. Other taxes increased approximately $11.6 million or about 13% largely due to increased property taxes in Minnesota. As a reminder, our request for deferred accounting treatment was denied by the Minnesota Commission earlier this year. Higher property taxes incurred in Colorado related to the electric retail business are being deferred as part of the multiyear rate settlement approved by the Colorado commission in May. I will now provide an update on several regulatory proceedings. We currently have three notable regulatory proceedings underway. We filed for rate relief in South Dakota and Wisconsin. Late last week, the Wisconsin staff filed their recommendation which we viewed as constructive. In Colorado, we are seeking recovery of the full amount of our smart grid city investment. Details of these cases are provided in our earnings release. We anticipate resolution of each of these cases later this year. In addition, we continue to make preparations to file several cases before year end, including electric cases in Minnesota, New Mexico, North Dakota and Texas as well as the gas case in Colorado. We’ll be able to discuss these cases in more detail at our year-end conference call in January. In Minnesota, we plan to fill an electric rate case next week. Until the case is filed, there are limited details that we can share with you. Our plan is to file a one-year 2013 test year rate case with interim rates expected to be effective in January 2013. Primary drivers of the case are the continued high level of investment to keep our system safe and reliable over the long-term such as our investments extend the lives of our nuclear plant and obtain more power from the Monticello nuclear facility. Recovery of these investments as well as other general business cost increases would be at the level you would expect given our CapEx progress. This case will also address the increases in property tax that we have experienced which we forecast to be even higher in 2013. In addition, we will reset rates using current projected sales levels which are lower than what we used in our most recent rate case driven primarily by the economy and the loss of some large customers. We also plan to include proposals for how we can help support economic growth to help mitigate the sales effects over time. We are looking forward to working constructively with stakeholders and customers as we file and move through the case. We plan to file the one-year rate case we remain interested in working with the parties to arrive at a framework that can address 2014 and beyond to better manage the financial impact of substantial capital investment in an environment with flat or declining electric sales. The Minnesota Commission has opened the proceeding on a multiyear rate plan. Assuming that process results in a constructive framework, we would expect to submit a plan during 2013 or 2014 and beyond. We will continue to participate in this ongoing docket which will serve to help shape its filing. Now, I would like to update you on the completion of our 2012 financing plan. We’re pleased to have the opportunity to take advantage of historically low interest rates, issuing a total of $1.8 billion of first mortgage bonds in 2012. During the third quarter and into early October, we issued $800 million of first mortgage bonds at both NSP-Minnesota, and PSCo, as well as $100 million at first mortgage bond at NSP-Wisconsin. As a result of these transactions, we dramatically lowered our cost of debt and extended maturities. This was particularly true at NSP-Minnesota and PSCo where we refinanced over $1.2 billion in bonds that had interest rates of about 8%. Notably, the NSP-Minnesota $300 million 10-year tranche priced at 2.15% coupons, and the $500 million 30-year tranche priced at 3.4% coupon. Both of these represented record low utility coupons for their respective tenor. The PSCo bonds were issued at slightly higher rates but still among the lowest for the utility sector. These bonds will provide low-cost capital for our customer for years to come. One additional financing related item, Moody’s recently downgraded SPS by one notch based on the expected moderation of SPS’s credit metrics due to high levels of capital expenditures and regulatory lag. The outlook is now stable. Considering the significant planned investment in the SPS system over the next five years, strong credit metrics and timely recovery of costs are critical. Clearly, we’ll continue to work with our stakeholders, including state regulatory commissioners and staff, the Office of the Attorney General, key large customers, consumer advocates, state government officials and others to reinforce the importance of timely recovery associated with these investments, as this is a critical factor in our decision-making process. Turning to our earnings guidance, we expect 2012 ongoing earnings guidance to be within the $1.75 to $1.85 range. However, GAAP earnings are now expected to be in the upper half of the range due to the tax benefit previously discussed. In a year, where we’ve faced stiff headwinds early, we take great pride in our efforts to position the company to deliver earnings within our guidance range for the eighth year in a row. Looking ahead, we’re initiating our 2013 earnings guidance of $1.85 to $1.95. Based on the midpoint of our guidance range for both 2012 and 2013, this would represent 6% earnings growth, consistent with our 5% to 7% target. The key assumptions for 2013 are outlined in today’s press release. I’ll now share with you some details behind a few of the assumptions. We assume constructive outcomes in all rate case proceedings. We forecast consolidated weather-adjusted electric utility sales growth of 0.5%. However, the forecast does vary by operating company. We anticipate sales growth of approximately 1% at PSCo, sales declines of approximately 1% at NSP-Minnesota, sales growth of approximately 3% at SPS, and flat sales at NSP-Wisconsin. For natural gas, we are projecting a weather-adjusted firm sales decline of 1%. O&M expenses are forecasted to increase 4 to 5%. The primary drivers include rising pensions, medical and nuclear costs in addition to our continued capital investment in our system. Depreciation is expected to increase $70 million to $80 million, also driven by continued capital investment in our system. Property taxes are expected to increase $35 million. As a result of recent refinancing to take advantage of the low coupon debt, we expect interest expense to decline by $30 million to $35 million. And, finally, our 2013 EPS guidance is based on a range of 490 million to 500 million common share equivalent. In closing, we are pleased to deliver another strong quarter, well positioning the company to meet our earnings objectives for the eighth consecutive year. Looking ahead, our guidance range for 2013 is consistent with our plan to grow earnings 5% to 7% annually. Before I turn the call over to you for questions, I’d like to comment on our plans for our annual analyst meeting. Over the last several months, we’ve spoken with many of you regarding the frequency with which we host our analyst meetings. The feedback we’ve received clearly indicated that holding the meeting every other year or as needed was sufficient. As a result, we won’t be hosting an Analyst Meeting this December. However, we currently intend to host one in December of 2013. That concludes my prepared remarks. Operator, we will now take questions.
Operator: Thank you. (Operator Instructions) Your first question comes from Travis Miller from Morningstar Securities Research. Please go ahead.
Travis Miller - Morningstar Securities Research: Good morning, thanks.
Ben Fowke: Good morning, Travis.
Teresa Madden: Good Morning.
Travis Miller - Morningstar Securities Research: You guys mentioned in the release, the cost savings initiatives that helped keep that O&M flat. And as you’ve suggested a pretty modest 2% for the full year, can you detail what some of those have been this year and how sustainable, I guess those are?
Teresa Madden: Well, we started the year in terms of an overall looking across the board in terms of where we could eliminate what we would called discretionary items, and so that could be some consulting costs. We eliminated our wage increase, which we have reinstated. But generally they were just across the board, where we looked for opportunities to lower our overall costs.
Travis Miller - Morningstar Securities Research: Okay. And you expect those to be, other than the wage increase, obviously, you expect some of those to be sustainable?
Teresa Madden: Yeah. We do.
Travis Miller - Morningstar Securities Research: Okay. Great. Thank you.
Operator: Your next question comes from Kit Konolige from BGC. Please go ahead.
Kit Konolige - BGC: Good morning.
Ben Fowke: Good morning, Kit.
Teresa Madden: Good morning.
Kit Konolige - BGC: So just to follow a little on your discussion of the five-year CapEx outlook and your equity plans, I think you mentioned, Teresa, the driver of the lowered equity needs was partly less CapEx, partly higher cash from operations, if you can go into a little detail on those points?
Teresa Madden: Well, Kit, the CapEx, if we look at the five-year period, even though it’s slightly different, in terms of 12 to 16 or 13 to 17 it’s still just over a $13 billion. But two important things, in terms of removing CSAPR, we had a higher front end. We’ve added some infrastructure costs in PSCo, in terms of the gas replacement program. The removing of the CSAPR project had some regulatory lag with it and whereas, if we are assuming relative to the gas infrastructure, we do have a rider in place, or through this rate based recovery that will help us work towards having a lower equity requirement.
Kit Konolige - BGC: And is that, that’s the primary driver of the delta in your expected equity needs?
Teresa Madden: It really is, yeah, because over the period, the spend is pretty much the same in terms of just over $13 billion.
Kit Konolige - BGC: Great. Can you discuss the timing of the equity issuance at all?
Teresa Madden: Well, we don’t need equity in 2012. We believe in 2013 or 2014, we could have the need for equity, but it’s going to depend on a lot of things that we consider. Overall market decisions, the ultimate timing of spend, credit metrics, we’ll take that all into consideration.
Ben Fowke: I think the good news, Kit, is we’re going need a lot less equity and that gives us a lot more flexibility going forward.
Kit Konolige - BGC: I agree, that sounds like good news and can you maybe touch on the dividend a little bit in that context as well. I think in the past, the discussion has been along the lines that dividend growth would be less than EPS growth for a number of years, while the large CapEx budget was in place as that declines. Maybe that relationship between dividend and EPS growth changes some. Should we be thinking any differently about that at this point?
Ben Fowke: No. I think what we said before and how we reward investors between the dividend and EPS growth still holds true, Kit. I mean, we still have a lot of rate based growth obviously in the next couple of years. And just like our equity needs, we’ve got a lot of flexibility and what we can do with the dividend. I mean, we’ve got, I think, a pretty modest payout ratio compared to our peers. So it’s an arrow in the proverbial quiver, if you will.
Kit Konolige - BGC: Thank you.
Operator: Your next question comes from Ali Agha from SunTrust. Please go ahead.
Ali Agha - SunTrust: Thank you. Good morning.
Ben Fowke: Hey, Ali.
Ali Agha - SunTrust: Hey, Ben. Ben or Teresa, the $13.2 billion of CapEx spend budget for ‘13 through ‘17, could you then remind us what kind of annual rate-based growth does that support say ‘12 over ‘13 and ‘17 over that five-year period?
Ben Fowke: I think we’re still growing in that 6% to 7% clip, Ali.
Dave Sparby: At least through 2014, Ali. Post that it will start to come down as CapEx comes down.
Ali Agha - SunTrust: Okay. Okay. But and I don’t have a chance to look at the numbers themselves. So I mean, if I do it over a five-year period, 5% to 6% that would be reasonable?
Ben Fowke: Yeah. I think that’s probably right.
Ali Agha - SunTrust: Okay. And then on the equity issue question, so the share count increase that you guys are assuming for ‘13 in your guidance right now. Obviously that the range there, so right now is that assuming drip, or I’m assuming, I guess, the higher end of that would include equity issuance as well. Can you give us a little better handle on that check on range for ‘13 and how you’re thinking about equity in there?
Teresa Madden: Well, we’re still assuming that we would have our drip and benefit programs in place at the same level, which has been around $80 million a year. And then we put the range in to provide for some flexibility as I was just indicating. But it could be 2013, it could be 2014. And as we move forward, we’ll just consider all the circumstances and it could be either of the years. And that’s why we indicated a range this year.
Ali Agha - SunTrust: I see. And final question, you laid out also your load forecast obviously for full year this year and for next year. Can you remind us the earnings sensitivities? We should think about 1% move in load, what that means for EPS for you guys?
Teresa Madden: Generally, 1% load can range from margins at $20 million to $30 million. It just depends on which jurisdiction it’s in because we earn differently. And so that’s what causes the range between $20 million to $30 million.
Ben Fowke: And also with customer class.
Teresa Madden: Yeah. That’s true.
Ali Agha - SunTrust: Is that electric, gas or is that a culmination of the two?
Teresa Madden: That’s electric.
Ben Fowke: Gas is much lower.
Teresa Madden: Correct.
Ali Agha - SunTrust: All right. All right. Thank you.
Operator: Your next question comes from David Paz from Bank of America, Merrill Lynch. Please go ahead.
David Paz - Bank of America Merrill Lynch: Good morning.
Ben Fowke: Good morning.
David Paz - Bank of America Merrill Lynch: Most of my questions have been answered. But I just wanted to go back to one point you made on the regulatory lag and how it corresponds with the CapEx. I think said higher -- you expect higher cash flow from operations in this five-year plan versus the prior plan, due to like more spend on the gas side which has a rider and less spend on electric side which in the region, in the jurisdiction that still has some regulatory lag. Is that the increase roughly, does that explain the increase of, I don’t know, I think it was like 400 million in your cash flow from operations plan versus the prior plan?
Ben Fowke: Well, I think it’s a function of the reduction in overall CapEx spend. That’s about $200 million. And then improvement in the cash flows that Teresa mentioned is the other half of that basically. And that’s just, that’s a function of when we put the spend in and for CSAPR and remember, that was front end loaded. That’s another factor that helps us reduce the equity needs that we have a smoother spend. When we put that in, we did not have the regulatory recovery mechanism established. Now, we were obviously going seek that and we’ll continue to seek that going forward, if we do have to make environmental spend. But at this point, we didn’t have it. We had regulatory lag, contrast that with our infrastructure spend in Colorado, where we do have a rider and which eliminates lag. So, that’s the delta that Teresa and we’re referring to.
David Paz - Bank of America Merrill Lynch: Got it. Okay. Great. That helps a lot. My other question, just in your transmission line item other major projects notice both slight bump in 2017. I’m just curious is there a major transmission project down in the pipe that maybe we’ve missed here?
Ben Fowke: I don’t think, so we’re obviously have our CapX2020 programs, which are lined out that in program and then the other major CapX programs would be at SPS and some in Colorado. But these are all projects that we’ve been discussing.
David Paz - Bank of America Merrill Lynch: Great. And on interest costs, I just want to make sure I understand the decline for 2013, embedded in your 2013 guidance versus 2012. Is it really just a function of the lower interest cost -- lower interest rate or there are some maybe terms out before their maturity dates?
Teresa Madden: And it’s primarily the interest rate.
David Paz - Bank of America Merrill Lynch: Okay. And last question, just in terms of your weather benefit year-to-date, I know you have for Q1, but better rest of the year, just what the net weather benefit year-to-date?
Teresa Madden: The net…
David Paz - Bank of America Merrill Lynch: Versus normal.
Teresa Madden: Is $0.05.
David Paz - Bank of America Merrill Lynch: Great. Thank you so much.
Operator: Your next question comes from Eli Kraicer from Millennium Partners. Please go ahead.
Steven Gambuzza - Millennium Partners: Good morning. It’s actually Steven Gambuzza.
Ben Fowke: Hi, Steve.
Teresa Madden: Good morning.
Steven Gambuzza - Millennium Partners: Good morning. The rate case that you’re going to file in Minnesota, what will be the test year for that rate case?
Teresa Madden: 2013.
Steven Gambuzza - Millennium Partners: Okay. And so you’ll use a forecasted capital structure for -- the balance sheet, there is no update so just being entirely forecasted capital set of financials?
Teresa Madden: That’s correct.
Steven Gambuzza - Millennium Partners: Okay. And just on the CapEx forecast, I know you spent some time in your opening remarks talking about the op rates. Have you left, I guess is the op rates spend really into the Minnesota project, which you discussed is that still in the CapEx forecast or is that been removed?
Ben Fowke: It’s the $200 million spend is still in there.
Steven Gambuzza - Millennium Partners: Okay.
Ben Fowke: It’s in the ‘16 and ‘17 timeframe.
Steven Gambuzza - Millennium Partners: Okay. So, if your request to the regulator is granted then you will not spend that money?
Ben Fowke: Correct.
Steven Gambuzza - Millennium Partners: Okay. And then just back to you some of David’s questions on the rider. It sounds like I was looking at the nature of the capital changes. It looks like distribution CapEx for electric went up by about, both electric and gas distribution spend went up by 20 to 30% versus the prior forecast and is most of that spend now rider eligible like I know you have it in Colorado, do you -- this increase in CapEx that you have for both electric and gas distribution is the majority of that going to fall under riders?
Ben Fowke: Well, I think the gas spend as we talked about should be under a rider. The electric spend, which assumed in a multiyear plan. And -- but most of it is going to be picked up in general rate cases. And obviously, we’re trying to go to multiyear and some other things to cover that. But it’s really a reflection by the way of just aging infrastructure. And we’ve done a really good job with reliability for our customers. And we want to continue to keep that high standard in existence and it takes investment. And I think our commissions will see that.
Steven Gambuzza - Millennium Partners: Okay. And then my final question is just on the transmission CapEx. I’m looking at that updated table and I see the CapX2020 spend in the 2013 to ‘15 timeframe. And then there is other major transmission project, $320 million in ‘16 and $415 million in ‘17. Can you just remind us what projects those are they -- I’m sure I know you talked about it a bunch of the sites CapX2020 just wanted to get a feel for -- is this a handful of projects or a bunch of projects?
Ben Fowke: Probably in between a handful and a bunch.
Steven Gambuzza - Millennium Partners: Okay.
Ben Fowke: We’ve got both. And we have TUCO, Moreland project, the Hitchland-Woodward project in Texas. We’ve got the step projects in Texas. And PSCo some of the SP 100 are relatively small to the end of the five-year timeframe. A number of smaller projects, we have some things going on in Wisconsin as well, so…
Steven Gambuzza - Millennium Partners: Nothing, no large -- no one or two large projects that are driving it?
Ben Fowke: No. But they’re not -- I mean a lot of those projects are covered through. The major projects that we refer to in the table the majority of those are covered by riders.
Steven Gambuzza - Millennium Partners: Great. Thanks very much for your time.
Ben Fowke: Thank you.
Operator: Your next question comes from Mark Ryder from PartnerRe Asset Management. Please go ahead.
Mark Ryder - PartnerRe Asset Management: Yeah. Hi. With the five year CapEx spending so front-end loaded. I’m just wondering roughly how much debt you plan to issue in 2013. And then how that affects the credit metrics, if you don’t issue equity?
Teresa Madden: We’re planning to issue as right around $1.2 billion, $1.4 billion.
Mark Ryder - PartnerRe Asset Management: And the credit metrics?
Teresa Madden: They’ll stay the same as they are which we are assuming that we have in the release.
Ben Fowke: I mean we shared this, our plan with rating agencies. And so everybody -- we’re very transparent about what the metrics look like with both investors and the credit agencies.
Mark Ryder - PartnerRe Asset Management: Okay. And then just one quick question on how much more secured debt you can issue at SPS before you trip the negative pledge in the existing bonds?
Ben Fowke: It’s about $160 million.
Mark Ryder - PartnerRe Asset Management: And will you hit that limit next year?
Ben Fowke: Not necessarily.
Mark Ryder - PartnerRe Asset Management: All right. Thank you.
Operator: (Operator Instructions) Your next question comes from Cleo Zagrean from Macquarie Capital. Please go ahead.
Cleo Zagrean - Macquarie Capital: Hi, good morning. Could you please remind us of your expectations both ‘13 in terms of trend growth rate for EPS given the slower load growth. And did you CapEx now we understand most likely it’s going to be $13 billion. And any update on the mix between -- mix growth and dividend yield for total return? Thank you.
Ben Fowke: Your first and second question kind of have the same answer for both. I think we continue to see some pretty robust rate based growth over the next couple years. You get into that ‘14 time frame and beyond, perhaps it modulates a bit. There is a number of factors that will affect how much it modulates. But overall, we’re very confident that the total shareholder return of 10% can be met, whether it’s a little less on EPS growth and a little more on dividend that mix ultimately remains to be seen, based upon a number of variables. But we’ve got a lot of levers I think to use to continue to reward our shareholders.
Cleo Zagrean - Macquarie Capital: Thank you. And as a follow-up with regards to load growth challenges, can you give us a brief overview of the types of regulatory recovery you’re looking for besides accounting for a lower growth rate in your request. And the signals you’ve received so far from regulators in terms of progress on formula rates. We -- my impression was that you were hoping maybe to move faster in Minnesota? Thank you.
Ben Fowke: The formula rates, you mean the multiyear plan?
Cleo Zagrean - Macquarie Capital: Yes.
Ben Fowke: It’s not really a formula rate. But -- that the progress on a multiyear plan has gone a bit slower in Minnesota than we originally thought. There’s a docket that’s been opened and it will be very much addressed in ‘13. But we need to file a rate case now. So we filed a rate case. We’ll continue to work with parties to develop a plan that might make sense. And part of that will be economic development, frankly and address things like how we help be part of the solution to get sales back on track in the state. I think that’s an important thing we can do and we have done. We already have examples of that, by the way that have played very well with our stakeholders. So having regulatory certainty, having our plans understood by our stakeholders, those ultimate lead to multiyear plans, but in the meantime we’ll file a rate case. Last time we did it, we did the same way. We got a step increase for the off years. So there’s a lot of different ways that we can ensure that we have appropriate regulatory recovery. And I’m actually pretty excited about the ways we can help improve sales growth and encourage growth in the state. You’ll see that in rate design, I’m sorry you’ll see that in rate designs some other things that will offer.
Cleo Zagrean - Macquarie Capital: Thank you.
Ben Fowke: You’re welcome.
Operator: Your next question comes from Timothy Yee from Keybanc Capital Markets. Please go ahead.
Timothy Yee - Keybanc Capital Markets: Yeah. Just one quick question. For your plan rate filings in the other jurisdiction other than Minnesota, which I think would be New Mexico and North Dakota or Texas and Colorado gas, when would you expect those new rates to be in place by?
Teresa Madden: It varies by the jurisdictions. In North Dakota, we would expect interim rates early. Texas would be in the latter part of next year. New Mexico would be potentially about the same. Colorado gas that’s right…
Ben Fowke: ‘14.
Teresa Madden: New Mexico would be 2014. And then Colorado gas would be by the winter season next year.
Timothy Yee - Keybanc Capital Markets: Okay. Thank you.
Operator: There are no further questions at this time. I would now like to turn it over to Ms. Teresa Madden. Please go ahead.
Teresa Madden: Thank you all for participating in our third quarter earnings call this morning. We look forward to meeting with you at EEI Financial Conference in a few weeks. Until then Paul Johnson and the IR team are available to take your call.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.